Operator: Good morning. My name is [Brianna] (ph), and I will be your conference operator today. At this time, I would like to welcome everyone to the Mastercard Incorporated Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Mr. Devin Corr, Head of Investor Relations, you may begin your conference.
Devin Corr: Thank you, Brianna. Good morning, everyone, and thank you for joining us for our third quarter 2024 earnings call. With me today are Michael Miebach, our Chief Executive Officer; and joining remotely is Sachin Mehra, our Chief Financial Officer. Following comments from Michael and Sachin, the operator will announce your opportunity to get into the queue for the Q&A session. It is only then that the queue will open for questions. You can access our earnings release, supplemental performance data and the slide deck that accompany this call in the Investor Relations section of our Web site, mastercard.com. Additionally, the release was furnished with the SEC earlier this morning. Our comments today regarding our financial results will be on a non-GAAP currency-neutral basis unless otherwise noted. Both the release and the slide deck include reconciliations of non-GAAP measures to GAAP reported amounts. Finally, as set forth in more detail in our earnings release, I'd like to remind everyone that today's call will include forward-looking statements regarding Mastercard's future performance. Actual performance could differ materially from these forward-looking statements. Information about the factors that could affect future performance are summarized at the end of our earnings release and in our recent SEC filings. A replay of this call will be posted on our Web site for 30 days. With that, I will now turn the call over to our Chief Executive Officer, Michael Miebach.
Michael Miebach: Thank you, Devin. Good morning everyone. On Halloween, well, nothing spooky here. The headline this quarter, again, we delivered strong results across all aspects of our business. We’re adding to that momentum with the announcement of two planned acquisitions, Recorded Future and Minna Technologies. In the third quarter, net revenues were up 14%, and adjusted net income increased 13% versus a year-ago, as always, on a non-GAAP currency-neutral basis. These results were underpinned by healthy consumer spending, including strong cross-border volume growth of 17% year-over-year on a local currency basis. And value-added services and solutions net revenue grew 19% year-over-year on a currency-neutral basis. The macroeconomic environment remained supportive, and continues to underpin the strength in consumer spending. The labor market remained strong, even if slightly below historically tight levels. And inflation has moderated, albeit at varied levels across categories and countries. Overall, we remain positive about our growth outlook, but we will continue to monitor the environment. We will continue to focus on the things we can control, and execute on our growth algorithm. By tapping into the sizable secular shift opportunity to electronic payments, and that across both spend and transactions. Also, by further penetrating the addressable market in commercial and new payment flows, by gaining market share, and by growing value-added services and solutions. Let’s take a look at our progress in these four areas, starting with the shift to digital. There’s still a long runway for the secular shift for person to merchant payments. Our diverse global footprint and innovative digital-first proposition enable us to maximize this opportunity. A key driver is acceptance, which we have effectively doubled over the last five years. We are increasing acceptance by digitizing untapped pools of spend in areas, like transit, to open up new transaction flows. Over the years, we have helped hundreds of transit systems around the world move to open loop. And now, our contact-less technology is making it easier for international travelers in Beijing and people in Hong Kong can now seamlessly pay for their train trips. The shift to digital means turning every device into an acceptance device. Just think about that. Tap-on-phone is now live in over 110 markets. Since the beginning of this year, the number of tap-on-phone locations almost doubled. And more than 10% are net new acceptance locations for Mastercard. You see it everywhere, at food trucks in major cities, at the farmers’ market in my town, in the air to make in-flight purchases, and at sporting events like the Major League Baseball All-Star Game. We’re adding more access through acceptance efforts. In Africa, we’re partnering to make our QR pay-by-link technology available to every merchant with a KaiOS-powered phone, that’s putting affordable ways to be paid in the hands of underserved small businesses across the whole continent. We’re investing in cutting-edge technologies, like tokenization and pass keys to make the online shopping experience better and more secure. And that’s the expectation people have when they see our brand. They know it’s convenient, fast, and frictionless. And that ease and simplicity are not sacrificed for world-class security and protection against fraud. They get all that from Mastercard in every transaction. Efforts like these are being developed by our teams across the globe, including at our newly expanded tech hub, in Pune, India, where I was earlier this month. India is where we first launched the Mastercard payment pass key service, which replaces the need for passwords or texts for one-time pass codes with biometrics; simple and seamless ways to address the high levels of fraud and the need for secure payments everywhere, no matter the channel. We’re extending and scaling that into new markets with partners like noon Payments, one of the largest PSPs in Middle East Africa. We’re also collaborating with India’s leading wearables brand, Bolt. We will work with them to enable quick, highly secured tokenized contact-less payments on their devices. The continued adoption of these capabilities positions us well to capture the large secular opportunity in consumer payments. Now, the consumer is one part of the story. There’s a sizable opportunity in unlocking new flows across commercial payments and disbursement and remittances. We’re seeing strong momentum in these spaces. In commercial, we have the right solutions, and we’re expanding into new verticals with specialized partners who offer significant reach. Last quarter, we announced the partnership with CBC to provide car distribution, acceptance and financial education to almost two million retailers. We’re now building on this momentum with a partnership with payment orchestrator, Yallo. They work with some of the largest consumer packaged goods distributors in Latin America, including Nestlé, Mondelez, and Coca-Cola. This partnership will enable three million small and medium-sized customers to use Mastercard small business cards to make purchases. And in the healthcare industry, we’re partnering with Fundbot, a fintech specializing in supply chain financing. We will work with them to capture additional B2B flows with virtual cards and address insurance payment delays that have historically posed challenged. Now shifting to disbursements and remittances, we’re also scaling with important players in that space. You saw our announcement at Mastercard Move, we’ll be integrated into Citi’s cross-border payments network. Citi customers in 65 countries can now make secure near real-time cross-border payment transfers to Mastercard debt cards in 14 receiving markets worldwide with more to come early next year. In the U.S., we have expanded our partnership with payment platform processor Astra Inc. to accelerate the adoption of Mastercard Move for push-to-card payments. In Latin America, we announced partnerships with Paysend, Leap Financial, and Felix Pago to tackle the significant U.S. and Latin America cross-border corridor opportunity. Another important element of our growth algorithm is gaining more share of the carded market. And we are, even in today’s competitive marketplace, we do this by understanding our customers’ needs and by offering differentiated service that can help them and drive value and/or choice to the end customer. For example, this quarter, in Belgium, Brussels Airlines announced that they will migrate their co-brand card and loyalty program to Mastercard. We extended our agreement with the second largest bank in Europe, BNP Paribas Group. The extension includes additional services such as launch pads to co-create new digital experiences through our dedicated innovation hub. We’re building on our partnership with one of the largest commercial banks in Qatar; Doha Bank. In addition to renewing debit and prepaid, they will migrate the majority of their credit program to Mastercard. They were also the first bank in Qatar to launch our cross-border payment services. We’re teaming up with Alibaba.com to enable their first co-branded U.S. small business credit card. And we signed an exclusive partnership with Mobitel’s mobile wallet: e-Mola, in Mozambique. To me, all these reinforce Mastercard is a valued partner to our customers. Last quarter, I highlighted the progress we’re making against the significant opportunity in Africa. Today, let’s focus on Latin America, a diverse region that embraces new technologies and represents a large untapped opportunity to convert cash and check to electronic forms of payment. External sources estimate that more than 60% of purchase transactions in Latin America are still paid in cash and check. We have been striving strong growth in the region with third quarter year-to-day GDV up 19% year-over-year on a local currency basis. And we are working locally to win share. We’re growing with two of the largest banks in Guatemala. Banco G&T Continental will migrate the majority of their debit portfolio to Mastercard. And Banco Industrial will drive new MasterCard credit and debit issuance, and use us as the network provider for their neobank. In El Salvador, Banco Agricola has agreed to migrate their debit portfolio to Mastercard and drive new credit issuance. The leading credit issuer in Uruguay, OSEA, has renewed our agreement and will convert a private label portfolio to Mastercard. We also have excellent merchant partnerships in Latin America. In Chile, we’re securing our position as the market leader with retail issuing partners. We extended our card issuing partnership with the second largest merchant in Chile, Cencosud. We renewed our exclusive card issuing partnership with Banco Ripley, the financial institution of Ripley Corp, one of the largest retail conglomerates in Chile and Peru. This snapshot of Latin America shows more examples of how we continue to win and retain customer agreements around the globe. Now, turning to value-add services and solutions. Our strong growth here is supported by strong differentiated products, transaction flows, and customer demands. And we aren’t stopping here. We are investing in new products to further expand our addressable market and address the needs of our customers. Let’s start with cybersecurity. We play a critical role advancing trust in securing a global digital ecosystem before, during, and after a transaction. Our agreement to acquire Recorded Future is expected to add threat intelligence capabilities to our leading identity solutions, real-time fraud scoring, and cybersecurity services. The company provides real-time visibility into potential threats through differentiated AI-powered solutions. This enables customers to act on and mitigate risks before they occur. We can enhance these solutions with the addition of Mastercard Insights product. This planned addition is expected to make our cybersecurity value proposition stronger, open up cross-sell opportunities with new customers, and add to our addressable market. Another trend is the growth of the subscription economy. Subscriptions are everywhere; delivery, entertainment, shopping, software, healthcare, and much more. They play a big role in people’s lives and are supported by and help grow digital payments. With that, comes an increasing demand for more transparency and control from consumers as well as regulators. That’s why we have agreed to acquire Minna Technologies. Their payment scheme agnostic services go beyond insights. It enables consumers, like those today with Capital One, to easily modify, extend, or cancel subscriptions directly within their banking applications and websites. And merchants benefit from the ability to re-engage their customers. The technology will also add to our broader set of tools like consumer clarity to enhance the overall value we deliver, including helping merchants build long-term deeper relationships with consumers through loyalty, rewards, and personalized offers. At the end of the day, it’s about creating a win-win approach for all involved; merchants, banks, and consumers. The expectation from consumers for personalized experiences also continues to grow. To meet this demand, we acquired best-in-class personalization assets in 2022 by Dynamic Yield. Since then, we have enriched the consumer-consented personalization experience with insights from our data analytics. That’s why we’ve had a lot of success scaling with around 500 retail and commerce partners, including luxury hospitality conglomerate in the Middle East, Kerzner. And now, we have introduced a new solution for issuing banks called Personalization Breeze. It combines our market-leading personalization offering with our propensity modeling to send individualized messages to cardholders. This is a fantastic example of the value we can deliver when we combine the proposition of our acquisitions, data, and other service offerings. Now, one of those offerings is open banking. It’s no surprise. People want greater choice, control, and access to financial services. And banks want faster and more efficient processes. Our open banking technology can deliver all that. We recently announced enhancements to our open banking lending program. Through our partnership with Argyle, lenders can now verify income and employment through consumer-permission payroll data. Fannie Mae and Freddie Mac have authorized this as a data source. And we work with them to provide asset verification, rent history, and cash flow assessment data during the mortgage underwriting process. This means a streamlined and informed lending process, especially for those with low, thin, or no credit files. We continue to add to, enhance our value-added services and solutions. We provide differentiated value at scale across a diverse set of payment-adjacent areas; cybersecurity, fraud, marketing, personalization, and insights to name a few. All with large addressable markets where we have the right to play, win, and scale, and all that while driving the positive flywheel effect where payments and services reinforce each other. Today’s call is a look at the past quarter. We have accomplished how we continue to set ourselves up for the future. We deliver it again across all facets of the business. And there’s so much opportunity ahead. We look forward to diving into this and more at our investment community meeting on November 13. Now, Sachin, over to you.
Sachin Mehra: Thanks, Michael. Turning to page three, which shows our financial performance for the third quarter on a currency-neutral basis, excluding where applicable special items and the impact of gains and losses on our equity investments. Net revenue was up 14%, reflecting continued growth in our payment network and our value-added services and solutions. Operating expenses increased 12%. And operating income was up 15%. Net income and EPS increased 13% and 16% respectively, primarily reflecting the strong operating income growth in the third quarter. EPS was $3.89, which includes an $0.08 contribution from share repurchases. During the quarter, we repurchased $2.9 billion worth of stock and an additional $983 million through October 28th, 2024. Let’s turn to page four, where I’ll speak to the growth rates of some of our key drivers for the third quarter on a local currency basis. Worldwide gross dollar volume or GDV increased by 10% year-over-year. In the U.S., GDV increased by 7% with credit growth of 6% and debit growth of 8%. Credit and debit growth was aided by the conversions of the previously announced Wells Fargo commercial credit and citizens’ debit migrations respectively. Outside of the U.S., volume increased 12% with credit growth of 10% and debit growth of 14%. Overall, cross-border volume increased 17% globally for the quarter, reflecting continued strong growth in both travel and non-travel-related cross-border spending. Turning to page five, switch transactions grew 11% year-over-year in Q3. Both card present and card not present growth rates remain strong. Card present growth was aided in part by an increase in contactless penetration, as contactless now represents approximately 70% of all in-person switched purchase transactions. In addition, card growth was 6%. Globally, there are 3.4 billion Mastercard and Maestro-branded cards issued. Turning to slide six for a look into our net revenue growth rates for the third quarter discussed on a currency-neutral basis. Payment network net revenue increased 11% primarily driven by domestic and cross-border transaction and volume growth. It also includes growth in rebates and incentives. Value-added services and solutions net revenue increased 19% primarily driven by growth in our underlying drivers, strong demand for our consulting and marketing services, the scaling of our fraud and security, and our identity and authentication solutions, and pricing. Now, let’s turn to page seven to discuss key metrics related to the payment network. Again, all growth rates are described on a currency-neutral basis unless otherwise noted. Looking quickly at each key metric, domestic assessments were up 10%, while worldwide GDV also grew 10%. Cross-border assessments increased 22%, while cross-border volumes increased 17%. The five-ppt difference is primarily driven by pricing in international markets and mix. Transaction processing assessments were up 14%, while switched transactions grew 11%. The three-ppt difference is primarily due to mix and pricing. Other network assessments were $227 million this quarter. As a reminder, these assessments primarily relate to licensing, implementation, and other franchisees, and may fluctuate from period to period. Moving on to page eight, you can see that on a non-GAAP currency-neutral basis excluding special items, total adjusted operating expenses increased 12%. The growth in operating expenses was primarily due to increased spending to support the continued execution of our strategic initiatives, including planned increased spending in advertising and marketing, as well an increase in indirect access, as discussed on our Q4 2023 earnings call. Turning to page nine, let me comment on the operating metric trends. Our Switch metrics in Q3 and through the first four weeks of October remained generally stable sequentially, both in the U.S. and across the globe as spending remained healthy. Of note, in the U.S., a portion of the uptick in switched volumes in the first four weeks of October was related to certain events, including the mix of high-volume calendar days and the tightening of social security payments this year as compared to last year. Turning now to page 10, I wanted to share our thoughts for the remainder of the year. As Michael said, consumer spending remained healthy, and we delivered across all aspects of our business in Q3. We remain well-positioned for the opportunities ahead, driven by our diversified business model, the significant opportunity for further secular shift to digital forms of payment in both consumer and commercial, and strong demand for our value-added services and solutions. While we continue to monitor the economic headwinds and tailwinds, we remain focused on executing on our strategy. Overall, we remain positive about the growth outlook. Now, turning to Q4 2024, year-over-year net revenue growth is expected to be at the low-teens range on a currency-neutral basis excluding acquisitions. Acquisitions are forecasted to have a minimal impact on this growth rate, while we expect a zero to one PPT headwind from foreign exchange for the quarter. From an operating expense standpoint, we expect Q4 operating expense growth to be the high end of a low double-digit range versus a year ago, again on a currency-neutral basis excluding acquisitions and special items. Of note, this reflects higher spending in advertising and marketing in Q4, as compared to Q3, primarily driven by the cadence of spend related to our sponsorship activities. Acquisitions and FX are forecasted to have a minimal impact to this OpEx growth for the quarter. Other items to keep in mind, on other income and expenses, in Q4, we expect an expense of approximately $85 million. This assumes the prevailing interest rates and debt levels continue, and excludes gains and losses on our equity investments which are excluded from our non-GAAP metrics. Finally, we expect a non-GAAP tax rate of approximately 17% for Q4 based on the current geographic mix of our business. A further comment on tax, there’s now more clarity on the potential impact of the Pillar Two global minimum tax rules as more countries continue to enact these rules. As disclosed in our 10-K, we have an incentive grant in Singapore. Starting in 2025, we expect the new Pillar Two global minimum tax rules will offset the benefit of this incentive brand. For reference, Q3 year-to-date 2024, this benefit had the impact of reducing our tax rate by approximately 4%. On a personal note, I’d like to thank all of you for the well-wishes I’ve received over the last several weeks. I feel good and happy to be here speaking with you today. And with that, I’ll turn the call back over to Devin.
Devin Corr: Thank you, Sachin. Brianna, you may open the call up for questions now.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Sanjay Sakhrani with KBW. Your line is open.
Sanjay Sakhrani: Thank you. Good morning, and I’m glad you’re doing well, Sachin. Just a quick question on the U.S. volume uptick, I know you mentioned some of it was related to some of those items that you mentioned. But is the rest of it just consumer picking up steam a little bit, and I’m just curious how, through your data, you’ve seen the consumer behave in a lower-rate environment, that’s rated so lower do consumers spend more?
Sachin Mehra: Hey, Sanjay, thanks for the question. Hopefully, can you hear me? Look, I mean the consumer continues to be healthy. We continue to see positive trends from a consumer health standpoint. They’re spending in a very healthy manner. So, that’s the underlying basis for what you’re seeing for our Q3 metrics, as well as what you’re seeing in the first four weeks of October. I will caution and say these are first four weeks of October, so they don’t make the quarter. But that being said, there’s no doubt in my mind that the consumer continues to show strength. But beyond that, like I mentioned, in the first four weeks, we cannot ignore the fact that there were certain one-time items such as the calendarization impact, which I mentioned, and the timing of social security payments which kind of caused that little bump that you see in U.S. metrics take place. But net-net, here’s the story, that the reality is, overall, with employment continuing to remain strong with interest rates starting to come down -- well, actually, technically, that there were reductions in the Fed-driven interest rates, but we’ve seen that the yield curve has actually gone right back up. But the reality is there continues to be confidence from a consumer standpoint. We’ve seen that come through, and it certainly came through in their spending patterns as well.
Operator: Our next question comes from the line of Tien-tsin Huang with J.P. Morgan. Your line is open.
Tien-tsin Huang: Hey, great, thanks. And Sachin, I knew you wouldn’t miss delivering these results. I wanted to ask, for Michael, I like your discussion of acceptance, and the trends and the growth, and the benefits there, can you give us -- [technical difficulty] or maybe for tokenization, and where we are with respect to penetration, growth, benefits to the ecosystem and, of course, benefits to Mastercard’s P&L?
Sachin Mehra: Right. So, tokenization cutting-edge technology, as I call it, we’ve been investing it for years. We’re in the billions of tractions now. The benefit of tokenization is pretty clear. It helps on the security side. The tokenized transaction has -- always a more secure transaction as the data will be only available for one-time use. That drives adoption across the ecosystem on the basis of higher securities. This has been rapidly around the world. We are in a whole range of markets around the world today. And it doesn’t end at security, there’s benefit that is coming to merchants from tokenization as there are higher conversion rates, and online commerce, for example. So, disability for us is -- cannot be underestimated. So, we’re going to continue to invest in it. There is a set of base functionality around tokenization as security, as I explained. There will be other solutions that we can tag on to that, for example, toke lifecycle management, and so forth. Now, we have been investing for many years in this capability. And, of course, we see this as an opportunity for us to drive our revenue line, and charge for that, but it’s very clearly related to and direct upside that our customer see, is our merchant from higher conversion or lower fraud on the securities side.
Operator: Our next question comes from the line of Harshita Rawat with Bernstein. Your line is open.
Harshita Rawat: Hi, good morning, and thanks for taking my question. Sachin, and I hope you’re feeling better. Michael, I wanted to ask about Mastercard value-added services, specifically in cybersecurity. You made a number of investments here, including the recent recorded future deals. If I look at your large disclosure from three years ago, cyber and intelligence with $3.7 billion in revenues for you already back then, can you talk about how it's being sold to clients? Is it an attached on a transaction or increasingly kind of like a new adjacency for Mastercard where you're studying synergy from the data on the platform and selling beyond just Mastercard transactions? Thank you.
Michael Miebach: Right. So, when I look at our value-added service portfolios, our security solutions is a very significant share of that. Why is that? Because the world is digitizing more, there's an increasing need to secure those transactions. That's a tremendous underlying secular trend for us to be involved with. It's a huge addressable market. So, we build out a set of transaction related solutions over the years before the transaction, after the transaction. One of the more recent ones that we talked about that we invested heavily in using our Brighterion acquisition from back in 2017 to use our AI capabilities is decision intelligence. We've now boosted the product with Gen AI and the outcome that we see is tremendous. This is up to a 20% lift that we see. Now, these are solutions that our customers opt into because they like those solutions and they like the lift that they get out of that. As I was saying earlier in the prepared remarks is we're not stopping here. Clearly, cybersecurity risk doesn't stop at the transaction. It goes beyond the transaction. It goes into reacting to cybersecurity risk that you see in your business that goes beyond fraud, aware of those vulnerabilities. You recall our RiskRecon acquisition from a few years ago. Again, those are services that our customers buy from us because they feel they are under threat and they want to step up their defenses. Now, recorded future, this is a subscription-based service into threat intelligence, which is the next logical step to go even further and look even further ahead and see what threat is coming my way. So, we have a natural position in here. It starts with the transaction, but we're selling these services way beyond the transaction. We've been historically on the record to say about 50% of our services are somehow related to transactions, but the other 50% are not and we're building out that portfolio with recorded future being one example. We're very excited about that. Threat intelligence, if you look at the customer set of recorded future, it's very impressive and we're looking forward to bringing those into the fold as and when the approval process ends.
Operator: Our next question comes from the line of Rayna Kumar with Oppenheimer. Your line is open.
Rayna Kumar: Good morning. Thanks for taking my question. We saw some volume acceleration in Europe, which is your largest geography in the quarter. What are you seeing in terms of macro in the region as well as potential for further share gains? Thank you.
Sachin Mehra: Hey, Rayna. Thanks for your question. So, look, I mean, Europe is clearly a very important region. We continue to perform well in that region. What we're seeing from a macro standpoint, and you've probably seen this in the most recent economic data, is you're starting to see positive trends come through there with momentum in France and Spain, and even in Germany. The reality is, Europe has kind of been a little bit of a tale of two cities. You've had Northern Europe, and then you have Southern Europe. Southern Europe has been actually performing well for the longest time. And now you're starting to see some momentum come through in other parts of Europe as well. So, net-net, I would tell you, the consumer confidence continues to improve, unemployment remains low. And so, from a macro standpoint you're in a good place from a European standpoint. As it relates to Mastercard's business in Europe, a couple of factors, there still remains a tremendous secular opportunity in Europe. We're tapping into that. We continue to actually be performing well on that basis, which is why you're seeing that come through in our drivers. And then, even beyond that, going back to the growth algorithm, which Michael was speaking about earlier, we continue to win share. I mean, the reality is what you're seeing come through in the nature of the drivers is the conversions of the UniCredit portfolio. You're seeing that come through in the nature of the Deutsche Bank portfolio. These are ones we've talked about in the past. You're just starting to see that come through in the metrics now. And also, we continue to be very focused on our efforts for migrating from Maestro to Debit Mastercard. And you're seeing all of that come through in the metrics. So, net-net, very important region; the economy seems to be holding up well, and in some cases showing renewed signs of improvement. And then, our business there, both from a secular and a market share standpoint that this should perform well. I noted such and that you said, even in Germany. I wouldn't miss my chance on that, Michael.
Operator: Our next question comes from the line of Bryan Keane with Deutsche Bank. Your line is open.
Bryan Keane: Hi, guys. Just wanted to ask about incentives, there's a little bit of a debate going on. Is incentives rising? Is there more renewals going on currently that are going to push incentives higher? Just like to get your thoughts around that. And glad you're feeling well, Sachin.
Sachin Mehra: Thank you. Look, I mean, the reality is, from a competitive environment standpoint, the market continues to be competitive. We continue to compete in this environment. Nothing, from our perspective, is vastly different from what was there already a year ago or two years ago. The reality is we'll continue to compete here. From an incentive standpoint, you're very well aware that in order to actually win volume, you're going to have to incentivize customers, which is what we do. And then, when you win the volume, you have the ability to generate revenues from the volume in question, optimize those portfolios, grow them at a faster pace, and then deliver services, which helps us increase our net value yield. Really, the playbook is very much the same, and from a competitive environment standpoint, not much is changing on that front.
Michael Miebach: And you see us winning. If you look at some of the movements here in the United States recently on the debit side, there is, on the basis of our differentiated propositions, we keep winning, so that resonates. We keep investing in that, as I just spoke about, but it's also pretty clear in that competitive environment where we hope to have the better solution for our customers in the end consumer. There is not every deal is for us and we don't want to win every deal. There is competitive movement in different parts of the world and we are very thoughtful about that. There is financial discipline. In the end, what we keep in mind is the net revenue yield.
Operator: Our next question comes from the line of Tim Chiodo. Your line is open.
Tim Chiodo: Great, thank you for taking the question. I want to dig in a little bit on Mastercard Move, so the combination of Mastercard Send and the Cross-Border Services. Two brief topics, one around mix. Across that entire capability, would you describe the cross-border mix as similar, higher, or lower than the rest of Mastercard's business? And then, in terms of the accounting for the revenues, I believe, and maybe you could correct me, that any of the domestic-related activity tends to be a little bit more card-based, so it's sitting within payment network. And some of the cross-border activity, some at least, is more account-to-account and would be within Dash net. Thanks.
Sachin Mehra: All right. So, maybe I start on that. So, these are very different and complementary businesses. I think that's the first to think about. So, obviously we have a thriving cross-border driven part of our carded business and the P2M space. We make something very complex across border, pretty simple for consumers. That's a good starting point, but there's many other use cases that are not actually happening through PODS today and as part of our one-stop strategy for payments for years, we have been investing in going after those flows and having a differentiated proposition there. So, Mastercard Move, which has domestic and cross-border type of payments, currently what we see here is this is a pretty differentiated reach that we have across 95% of the world's bank population, 180 countries, 150 currencies, that's a very different proposition. There are kind of use cases that you think about, think insurance distribution, gig workers that work remotely and develop an application for another company somewhere else around the world. So, it's a pain point for many companies how to do this effectively and at attractive price and our growth rates tell us that we're having a right proposition out there. In the third quarter, we're seeing over 40% of transaction growth in this business. So, differentiated solution and I come back to the announcement with Citi here. So, Citi is a strong player in cross-border and here this is one plus one is three as we have more endpoints and starting points for a transaction that we can bring into this partnership.
Michael Miebach: And then, on your question around the accounting, you have it right, I mean, the stuff which is on card rails, for example, domestic send, related revenues, send and payment network, and then the cross-border volumes, which flow on non-card rails are sitting in our value-added services and solutions.
Operator: Our next question comes from the line of Darrin Peller with Wolfe Research. Your line is open.
Darrin Peller: Hey, guys. Thanks. Sachin, first of all, I just want to reiterate, it's great to hear you on the call again. Guys, I just want to start off first. I mean, the yield and the spread and what we're seeing in growth of transaction revenues and cross-border, continuing to outperform the KPIs, I think it just shows the value add you're bringing to your customers. Can you just touch on the expansion of that and what kind of opportunities you're seeing taken on by the customers to allow you to have those better yields relative to the volumetrics, so just basically incremental VAS or services or even pricing. And then, Sachin, just a quick follow-up on tax rate, I think you said four points, so just want to be clear, we should be expecting around 20% tax rate next year? Thanks.
Sachin Mehra: Yes. So, sure, Darrin. Thanks for your question. So, let me take the tax rate question first, and I'll come back to your question around what you're seeing in terms of yield trends. So, on the tax rate look, now we see greater clarity as it relates to the implementation of this bill of two global minimum tax. And what we thought, and you've seen this in our 10K disclosures in the past that we've had this incentive agreement with Singapore. The reality is now Singapore has actually enacted those rules. There's one final step which is left to be done in Singapore, but the reality is it's getting pretty close. So, what we wanted to do was help our investors understand the impact of Q3 year-to-date that we had experienced as a result of these incentive plans from Singapore on our tax rate. And that's that four percentage number which I kind of shared with you. I can't tell you exactly what our tax rate is going to look like on a going forward basis, but order of magnitude, right, the impact of not getting the incentive grant in Singapore this year would have had an impact about four points on our tax rate. So, I wanted to get that clarity out for the investor community on that. On the first part of your question, which is around yields, look, we're very pleased with the value we're delivering to our customers, whether it's in cross-border, whether it's in domestic, whether it's through the services we bring. And the reality is what you're seeing come through is, I think you were talking about the spread between the driver metric and the revenue metric here, look, there are a number of factors which go into this, right? So, for example, on the transaction processing side, you can see the impact of mix come through. And this is a mix from both a cross-border and domestic standpoint when you're comparing the driver trend with the revenue trend, but it's also geographical mix, depending on which geographies are going faster and which geographies are going slower. So, you've got to take those factors into consideration. We certainly do when we're running the business. We look, like Michael said, we're not looking to win every portfolio. We want to win the right portfolios in the right regions with the fastest growth opportunity, which have the best yield. Because at the end of the day, what we're trying to optimize is driving that yield up. And that's what you're seeing come through in my comments around the mixed spread, which is there both on cross-border as well as in transaction processing. The other factor I'll point out is in the third quarter, you did get a little bit of a lift come through from FX volatility. Now, that sits in our transaction processing assessments line item. That is very hard to predict. I will tell you right now, FX volatility is running at record low levels over the last few weeks. So, it's a little bit of what we can do to enable the yield, which is what we do by delivering good value, good products, good services, as well as winning the right portfolios. And then, there's a little bit of stuff which happens from a macro standpoint, such as FX yield, et cetera, et cetera, which kind of plays into that. So, hopefully, Darrin, that gives you a little bit of color as to how we're trying to optimize the mix between what we're seeing from a driver trend standpoint and what we're seeing from an overall assessment revenue standpoint.
Operator: Our next question comes from the line of James Faucette with Morgan Stanley. Your line is open.
James Faucette: Great. Thank you very much. I wanted to dig in a little bit into B2B and commercial volumes. I think there's been good and steady progress there over the years, including this year. But at the same time, a lot of us are surprised that there hasn't been an acceleration. So, I'm just wondering kind of how you would assess that situation and what are the tools and capabilities of Mastercard? We should think about that Mastercard is bringing the market to help accelerate that market, or you think this is going to continue to be the cadence that we should expect, that it'll be steadily contributing to growth, but it just takes time? Thanks.
Michael Miebach: Thank you. Great question. One of my favorite topics to talk about commercial, earlier, I spoke about the tremendous secular opportunity we see in consumer, and then build on that and said, what is an even bigger opportunity in commercial? So we like it for those reasons. As I commented on previous calls, there were various structural issues over the years why this hasn't really unlocked in emerging markets, there were issues that we're not familiar with the risk. There wasn't technology that was available in back offices of smaller companies and so on and so on. If you pass forward to today, we're seeing a situation where this the momentum feels solid. We're seeing 11% growth in commercial. And that's good. And that's above consumer. And that's we like that. So, when I look ahead and say, what should we expect going forward? I'm not going to give you an outlook right now. Maybe you should dial into the Investor Day in a little while. But the point here is, we see our ability to put out solutions with different partners more globally into the back office systems of companies, our partnership with Oracle and SAP, for example, we see a whole new generation of treasurers that are digitally minded and businesses that are having an expectation that their digital lives in the office should be not worse than their digital lives and their personal lives. So, when we put out our mobile based T&E card proposition, then people are saying that it's cool. We like that. So, there is definitely changes happening. The most significant change that I see is really the interest of our issuing partners around the world to start to see this is a proposition to go into. I can talk to my customer about the working capital effect of a virtual card as part of their payment. That's 30 days of working capital. That is a real winning argument that everybody can understand, including our issuers getting very excited about. So, we see this as a space that's going to continue and drive growth for us. And you saw our reorganization where we align behind commercial and new payment flows because we believe it's going to be a tremendous growth driver.
Sachin Mehra: Hey, I'll just quickly jump in and clarify when Michael talked about the 11% growth rate on commercial, he was talking about the currency neutral growth rate for the third quarter of this year. Just want to be sure that we have that.
Michael Miebach: Sachin, thank you for clarifying.
Operator: Our next question comes from the line of Craig Maurer with FT Partners. Your line is open.
Craig Maurer: Hi, thanks, and good to hear you, Sachin. I want -- there's a lot of discussion around VAS and it's difficult for us to really get under the covers on that too much, but wanted to ask you, Michael, if you could characterize perhaps where you think Mastercard is better than your closest competitors in VAS when you're presenting to an issuer or merchant and it allows you to win that business. Thanks.
Michael Miebach: Right. So, value-added services and solutions, it's been a true differentiator for Mastercard for the last seven years at least. And we anchored around two fundamental points. I talked about one earlier, which is in a digitizing world, keeping that digital ecosystem in a company or in a consumer context or a bank context safe. So, our security solutions have been a differentiator and I think it's a truly differentiated proposition. The second big underlying trend here is with a highly and a rapidly digitizing world, more and more data becomes available and a lot of more businesses want to make sense of that data. So, this is another powerful trend. So, the second leg of this tool was we're building out a set of data insights solutions. So, that is the general proposition. Now, if you look under the hood of that, to your point there isn't much of a hood under look under the hood that you have. Well, I think we actually did share quite a bit of that over the years. So, on the security side, it's before the transaction, during the transaction, after the transaction, that's our digital identity solutions before. Those are per click solutions where we provide data to give an identity score to somebody that wants to find out, is this the real customer? And then, all the way to our fraud scoring solutions directly linked to the payments, all of that. So, that is pretty known. And on the data insight solution here again, it is a whole set of solutions that help customers that could be a merchant, that could be a bank to engage their customers, their end consumers in a better way through campaign management solutions, test and learn through marketing services, through loyalty and so forth. They are all very different business models, some of them subscription based, some of them per transaction clicks in a very different way. So, all of it, it's a whole mix. The point of all of this is two powerful underlying trends. And within each of these solutions, you have an arc where all of these solutions build on top of each other. They are finely and clearly curated for us to provide an end-to-end solution. So, I can say to our customer, I don't have this widget and that widget for you. I have a solution that can allow you to run your business better. Our engagement is always to help our customers drive their top line. And that's what we do. This is a different proposition than maybe others have out there. We like that because that makes us a strategic partner for our customers, for our customers. Overall, we believe this is differentiated. You've seen strong growth for us for years. You've seen another set of strong numbers for this quarter. And it's been boosting the revenue of the company and our yield.
Operator: Our next question comes from the line of Trevor Williams with Jefferies. Your line is open.
Trevor Williams: Great. Thanks a lot. With the Q4 outlook for low teens growth, if we think about that as the stepping off point for '25, is there anything in that fourth quarter growth that we should be mindful of either working for or against you that might not carry into next year or that a reasonable baseline for us to use as we start to think about '25? Thanks very much.
Sachin Mehra: Sure. So, first of all we'll talk about '25 at the right time, but let me give you a little bit of color and things to think about between what you're seeing in 2024 and 2025, right? Obviously, you guys know about the leap year effect. And I know you're asking a few poor questions, but more broadly speaking, you've got the leap year effect taking place in 2024. You're not going to have that in 2025. The things which you've got to keep in mind are, number one, we've had significant share wins, which have started to actually roll on in 2024. So, we talked a little bit about the citizens win. We talked a little bit about the Wells Fargo win. We talked about UniCredit, Deutsche Bank. Now, these will lap and the lapping effect of this will come through four quarters after they typically come on our books. So, for example, take something like the Wells Fargo commercial credit win. That was completely migrated onto Mastercard in the second quarter, second quarter of this year, 2024. So, you'll see the lapping effect of that come through in 2025. Similarly, as it relates to citizens, the vast majority of the ramp up on citizens took place in Q2 of 2024 with a little tail effect in Q3. So, you'll see that again lap off in 2025. So, I want to kind of just make sure that you've got that as a line of sight element. The other element is around pricing, right? I mean we've talked a little bit about some of the pricing actions which we've taken for all the innovation investments that we've been doing as a company. You're going to see the lapping effect of that come through as well. So, these are a couple of things which I would keep in mind as you go in from 2024 to 2025. But we'll talk in more detail about '25 at the right time over the next few months.
Operator: Our next question comes from the line of Jamie Friedman with Susquehanna. Your line is open.
Jamie Friedman: Let me echo my warm wishes, Sachin. I wanted to ask about China, if I may. You obviously have high ambitions there and are well positioned and you've had some significant developments on the operating side. So, I was just wondering how you're performing relative to your expectations as you roll out in China.
Sachin Mehra: Thank you. So, you mentioned it, I think, in the July call, you said we're alive now in China. So, we're alive as of May with a whole number of issuers and we're alive in China with a very unique proposition, which is a single use card that can be used domestically as well as cross-border. We've been in China for a long time, but that was a cross-border only use case. Now, this single proposition is a card that gives full global acceptance and it gives increasing domestic acceptance through a combination of measures. One is some of the local QR wallets that you can load your card into so you can benefit from that acceptance. And then, we're busy investing in acceptance across the country. There's interest from the Chinese government to link their economy more closely to the global economy. So, they're keen on building out acceptance so that people who travel into China can use cards as they would normally anywhere else in the world. Now, we're excited about the opportunity for a number of reasons. It's a huge economy, obviously, and we want to participate. So, that is a significant secular opportunity for us as we invest in this market. And this is regardless of up and down of the overall economy in China. This is a share situation. It's a secular opportunity as a starting point. But it will take investment. It will take investment. It will take time. Coming back to the acceptance part, issuing is a little easier to solve, but without acceptance, then that's going to be hard to do. So, we will continue to focus on that. As you know, we have a joint venture there and we have our own set of activities in China through services and so forth, which we continue that we have always done in China. So, exciting opportunity, medium to long term, the fact that we are in China does make us now the most accepted payment solution in the world and that is a differentiating factor for us as we look ahead.
Operator: Our next question comes from the line of Fahed Kunwar with Redburn Atlantic. Your line is open.
Fahed Kunwar: Hi, thanks, and also part of my well wishes to Sachin as well. Love to get just a bit more on price and we've touched on it a few times over these questions, but you've obviously taken pricing, I think, on cross-border and elements of that. But is there more room for pricing increases? And if we were looking across your stack and suite of products, where do you see that kind of potential for pricing more for value? Thank you.
Sachin Mehra: Sorry, just want to make sure. Can you hear me, Fahed?
Fahed Kunwar: Yes.
Sachin Mehra: Yes. Okay. I'm looking at the end of the day. Yes. Yes. I just want to be sure you can hear me. Look, at the end of the day, I think the way you should think about our philosophy along both our investments as well as how we drive remuneration from those investments is unchanged. We've always been in the business of investing heavily in driving innovation. As we drive innovation, we deliver value to our customers and to our merchants and consumers. And like with every other business, when you make investments, you want to realize the value for that. And that's what we talk about in the nature of pricing. And that's what we do. So, nothing's changed philosophically. I would tell you in terms of how we're running the business there, you can see that year-over-year, we look to make investments from an OpEx standpoint for all the investments we're doing in our people to drive our strategic initiatives that comes up with value propositions, which allows us to price for them. And that's really the way we're executing on our business. I would tell you that if you think about our business, broadly speaking, you should think about it as no different than in the past, right? On the one hand, we're operating in a very competitive market where you're seeing us compete for winning important portfolios. When you do that, you pay rebates and incentives. So, we like to think about pricing in the context of net pricing, which is net of the compression we take on rebates and incentives. And we continue to still see that environment as one where we have minimal net pricing, which is the combination of what we do in the nature of investments and the reiteration we derive for it, net of what we have to do in order to stay competitive in the marketplace. So, it's a combination of both of those factors which we're balancing.
Operator: Our next question comes from the line of Ramsey El-Assal with Barclays. Your line is open.
Ramsey El-Assal: Hi, thanks for taking my question this morning. Michael, I was wondering if you could give us your reaction to the DOJ antitrust suit against Visa. Comment on whether you see a potential opportunity for Mastercard if the legal and regulatory kind of pressure faced by your competitor ends up shifting some market share around.
Michael Miebach: Right. Ramsey, thanks for the question. So, obviously, we all read the headlines, we saw that allegations have been made. Obviously, we can't comment on that. Our view always has been we have to compete in a competitive market. We're doing it exactly in the way that Sachin just laid out, investing our products and solutions. That's how we win. And that's what we believe in. We believe in choice back in 2016 when we stepped into real time payments we were clearly the first in the industry to do that in a significant way. So, all of that, I think, is true. And we see all of that being differentiated and helping us win. If I look at how we've moved, make moves here in the market, in the U.S. with citizens, how we make moves in the market in Europe with UniCredit or NatWest. So, that model isn't changing. That's exactly what we're doing. If you look back at my prepared remarks, all that we're doing on strengthening our product solutions and our acquisitions and everything there, I think is going to be the way for us to win. I see there is a tremendous opportunity for us and that it's unrelated to this particular set of headlines that are out there. And we'll see how that plays out. But we will lean in with our customers and be there with them for their needs and push on.
Operator: Our next question comes from the line of Will Nance with Goldman Sachs. Your line is open.
Will Nance: Hey, I appreciate you squeezing me in here. I just wanted to kind of follow up on the earlier question around the value-added services that you're attaching to kind of transactions around the world and heard the earlier context around some of the breakouts you provided historically. But I wanted, I was wondering if you could kind of talk specifically to the kind of multi-rail strategy and the embrace of new networks and just what the progress has been and where you see the most opportunity to attach your value-added services to other networks, what those conversations look like? And if there are any kind of areas in the VAS portfolio where you think that you could potentially add more capabilities over time to address some of the needs of other networks. Thanks.
Michael Miebach: Right. It’s interesting when you look at the rise of alternative payment tools, or basically the breadth of the choice that is available to consumers and businesses in terms of payments today. So, you’ve got cards obviously. Then, you have account-to-account payments. You have digital public infrastructure government-sponsored account-to-account, you have P2P systems and so forth. So, the choice is broader than ever before. But if you look at the world outside of cards and you compare it to the world of card payments, wherever cards are available in a competitive-level playing field, a lot of businesses and consumers opt for cards because they give them protections. They give them protections for fraud. They give them protections around digital identity, theft and so forth. And this is coming right back to your question. We see tremendous opportunity here in the cybersecurity space. That is where I think there is the opportunity, the foremost, first and foremost opportunity for our vast portfolio to apply to non-Mastercard transactions. We talked about MasterCard access in the past. So, we have found ways through technology to make the connection into non-Mastercard brand and transactions easier for customers. So, we’re a truly scheme-agnostic provider for a whole range of our services because everybody needs security solutions. So, that’s how we think about it. But data analytics solutions, test and learn, campaign management, what should I have on my shelves, when should I open my branches, these are a set of common questions that customers, particularly in the retail and commerce space, ask us. Again, that’s a set of services that goes way beyond the relationship that we have on the payment side. Again, that is an ability for us to continue to diversify and pull in new customers. So, for us, keeping other payment networks’ transactions safe is an opportunity. We will continue to do that wherever we can and lean in with that.
Devin Corr: Thank you. Brianna, I think we’re out of time for questions. Is there anything, Michael, you’d like to wrap with?
Michael Miebach: Well, I just want to thank everybody again for your support. We’re looking to have you all and hopefully everybody else who’s not on the call, to join us for the Investor Community Meeting on November 13. As I said earlier, this has been a bit of a look back onto the quarter, onto this year, into the fourth quarter. And then, we’re going to take a look further out when we get together in a couple of weeks from now. I’m excited about that. As always, everything that we share with you is the fruit of the work of the 34,000 people here at Mastercard. And I will never have a call where I don’t thank them for everything they do, and that goes out to everyone here at Mastercard. Thank you very much, and speak soon. Take care. Bye-bye.
Operator: This concludes today’s conference call. Thank you all for your participation. You may now disconnect.